Operator: Good day, ladies and gentlemen, and thank you for standing by. Welcome to the Quanta Services Third Quarter Earnings Conference Call. [Operator Instructions] This conference is being recorded today, Wednesday, November 2, 2011. I would now like to turn the conference over to our host for today, Mr. Kip Rupp, Vice President of Investor Relations. Please go ahead, sir.
Kip A. Rupp: Great. Thank you, Patricia, and welcome, everyone, to the Quanta Services conference call to review third quarter of 2011 results. Before I turn the call over to management, I have the normal housekeeping details to run through. If you would like to have Quanta news releases and other information emailed to you when they occur, please sign up for email information alerts by going to the Investors & Media section of Quanta Services' website at quantaservices.com. A replay of today's call will be available on Quanta's website at quantaservices.com. In addition, a telephonic recorded instant replay will be available for the next 7 days, 24 hours a day, that can be accessed as set forth in the press release. Please remember that information reported on this call speaks only as of today, November 2, 2011, and therefore you are advised that any time-sensitive information may no longer be accurate as of the time of any replay of this call. This conference call will include forward-looking statements intended to qualify under the Safe Harbor from liabilities established by the Private Securities Litigation Reform Act of 1995. These forward-looking statements include all statements reflecting Quanta's expectations, intentions, assumptions or beliefs about future events or performance or that do not solely relate to historical or current facts. Forward-looking statements involve certain risks, uncertainties and assumptions that are difficult to predict or are beyond Quanta's control, and actual results may differ materially from those expected or implied as forward-looking statements. Management cautions you that you should not place undue reliance on Quanta's forward-looking statements, and Quanta does not undertake any obligation to update any forward-looking statements to reflect events or circumstances after this call. For additional information concerning some of the risks, uncertainties and assumptions that could affect Quanta's forward-looking statements, please refer to the company's annual report on Form 10-K for the year ended December 31, 2010, and its quarterly reports on Form 10-Q and its other documents filed with the Securities and Exchange Commission, which may be obtained on Quanta's website or through the SEC's website at sec.gov. With that, I would now like to turn the call over to Mr. Jim O'Neil, Quanta's President and CEO. Jim?
James F. O'Neil: Thanks, Kip. Good morning, everyone, and welcome to the Quanta Services' Third Quarter 2011 Earnings Conference Call. I will start the call with an operational overview before turning the call over to James Haddox, Quanta's CFO, to provide a detailed review of our third quarter financial results. Following James's comments, we'll welcome your questions. In the third quarter, we experienced momentum in the each of our operating segments for the first time since 2008. Specifically, our Electric Transmission business in the quarter continued to ramp up as a number of projects moved into full construction. We were also awarded nearly $250 million of pipeline projects in the third quarter, which are beginning to mobilize into construction in the fourth quarter. As a result of this increased activity, our workforce increased by approximately 2,500 employees or 17% at the end of the third quarter as compared to June 30, 2011. Both our 12-month and total backlog at the end of the third quarter were at record levels. Our 12-month backlog at the end of the third quarter increased about 39% and total backlog increased approximately 25% compared to backlog at the end of the third quarter of 2010. During the quarter, our Electric Power segment grew revenues by approximately 55% compared to the same period last year. Our Electric Power segment 12-month backlog as of the end of the third quarter increased nearly 49%, and total backlog increased nearly 17% as compared to the third quarter of 2010. We believe we are in the early stages of a major multi-year transmission buildout in the United States and Canada and expect backlog to continue to remain strong throughout 2012. The large Electric Transmission projects that we are progressing are progressing in a manner that is consistent with the expectations we set on our second quarter conference call without any meaningful delays during the quarter. During the third quarter, the joint venture including Quanta operating unit, Valard Construction, finalized the contract with BC Hydro for the engineering, procurement and construction of the Northwest Transmission Line. Under our scope of the contract, we will construct the 344-kilometer 287-kilovolt transmission line, which is designated to provide a secure interconnection point for clean energy generation projects and supply electricity to support future industrial developments in Northern British Columbia. We have commenced preconstruction activities but do not expect to move toward full construction until the spring of 2012, with completion expected in the fourth quarter of 2013. While large transmission projects are grabbing the headlines, we are also experiencing an increase in activity for projects less than $100 million in value that we typically don't announce. For example, AEP awarded Quanta work in 2 states to rebuild a number of transmission lines totaling more than 300 miles, and Oklahoma Gas and Electric recently awarded Quanta the Seminole to Muskogee Transmission Project, which is a 125-mile, 345-kilovolt line. Construction on this project is expected to start in the middle of 2012, with completion expected in late 2013. The aggregate of these projects is approximately $170 million. We continue to see a recovery in demand for our electric distribution services. Since the beginning of the year, our utility customers have continued to add our crews for maintenance work, and we estimate that our electric distribution revenues have increased approximately 11% for the first 9 months of this year compared to the same period last year. During the third quarter, Hurricane Irene severely damaged the electric infrastructure along the eastern coast of the United States and knocked out power to more than 7 million electric customers. Quanta deployed approximately 2,000 employees to provide electric restoration services to assist utilities throughout the impacted areas. The $63 million in revenue generated in the quarter from emergency restoration services was offset by impacts to operations along the Eastern Seaboard and in the Northeast U.S., where our productivity was hindered as a result of Hurricane Irene. Our operating income, however, did benefit somewhat from the emergency restoration work we performed. In our renewable operations, we generated revenues of $150 million for the first 9 months of this year compared to $182 million in the same period last year. We currently anticipate generating approximately $220 million of renewable revenue in 2011. This compares to $313 million for the full year of 2010. Reasons for the year-over-year decline include delays on solar projects moving forward, while developers wait for solar panel prices to settle at lower price levels. The wind market also was significantly impacted this year because of low natural gas prices and challenges in obtaining financing for projects. However, we believe the solar industry in the United States will provide growth opportunities for Quanta in 2012 and 2013. We recently announced that Quanta was selected by Samsung C&T America to provide comprehensive EPC services for a 20-megawatt utility-scale solar installation near the city of Alpaugh in Tulare County, California. Construction on this project is just beginning and should be completed in August of 2012. This project is not in backlog at the end of the third quarter. We have also been awarded work from Johnson Controls and Strata Solar on 2 10-megawatt solar projects, where our scope of work is focused on construction services only, which includes the installation of conduit, wiring and some racking and panel installation. Our Natural Gas and Pipeline segment has been challenged for the third quarter and for the first 9 months of this year, principally related to our large-diameter transmission business. But these challenging conditions are beginning to change. We're seeing an increased level of project awards for large-diameter transmission work. This is reflected in the increased backlog for this segment at the end of the third quarter. Our Natural Gas and Pipeline segment 12-month and total backlog increased nearly 10% and approximately 62%, respectively, as compared to the third quarter of last year. In the quarter, we were awarded and are currently working on building more than 190 miles of large-diameter pipeline for Enterprise Products Partners in the Eagle Ford Shale. We were also awarded and are now working on shorter-mileage, large-diameter pipeline projects in the Bakken and Marcellus Shales, as well as in Canada. The aggregate value of these projects added approximately $250 million to backlog during the third quarter. These projects are expected to be completed no later than the end of the first quarter of next year. As you may have seen this morning, we announced that TransCanada has selected Quanta to be part of a joint venture consisting of 3 pipeline construction contractors to build 1,179 miles of pipeline and related infrastructure from Hardisty, Alberta to Steele City, Nebraska as part of the TransCanada Keystone XL Pipeline project. The scope of services to be provided by each joint venture member is still being defined, and the finalization of the terms of the joint venture and the contract with TransCanada are in process. We anticipate that Quanta will play a significant role in the construction of the pipeline infrastructure for the Keystone XL project. The final review of the Keystone XL Pipeline by the regulatory authorities is under way. And assuming no further delays, TransCanada expects the decision sometime in December of this year. If this occurs, construction of the pipeline is estimated to begin in early 2012, with completion expected by the middle of 2013. According to information publicly disclosed by TransCanada, upon regulatory approval, the Keystone XL project is estimated to create approximately 20,000 U.S. jobs, including 13,000 construction jobs and 7,000 manufacturing jobs. This project will create at least 2,000 construction jobs for Quanta. The $7 billion project is expected to create 118,000 spinoff jobs in the local areas while the pipeline is being built, as well as $20 billion of economic benefits to the United States during the construction process. TransCanada is a long-time customer of Quanta, and we appreciate our relationship with them and the confidence they have demonstrated by choosing Quanta to be a meaningful partner in building a significant portion of this project. Through our 100 years of experience in the pipeline construction industry, combined with TransCanada's innovative solutions to meet the high level of environmental requirements on the Keystone XL project, we are committed to build the safest pipeline system in the United States. While the challenging environmental and permitting conditions that our customer states remain, we are optimistic that the momentum we are experiencing in our pipeline business will continue through the rest of this year and into 2012. However, it is very early in the 2012 pipeline bidding season, and our visibility on forecasting 2012 pipeline activity is limited at this time. Gathering system work within the shale formations is robust. We have established a local presence in key shale plays to take advantage of opportunities in these areas. We are making inroads and currently working on several lateral and gathering system projects in the Marcellus, Eagle Ford and Bakken Shales. We also believe that pipeline inspection, integrity testing and rehabilitation will be an area of significant opportunity and growth for Quanta in the coming years, as heightened federal and state standards and regulatory requirements for more frequent and invasive testing of pipelines begin to be implemented. We have experienced increased levels of inquiries related to this part of our business by pipeline owners and utilities. We believe this is due to our customers proactively moving forward with voluntary programs ahead of new regulatory requirements being put in place. We are pleased with the continued improvement in our Telecommunication Industry segment, as revenues increased 50% over the same period last year and margins increased 260 basis points. 12-month and total backlog for this segment increased about 73% and approximately 68%, respectively, in the third quarter as compared to last year's third quarter. The increase in revenues, margins and backlog for this segment was driven by increases in engineering and startup of broadband stimulus projects, fiber-to-cell site projects and wireless-related work. We anticipate this segment's revenues will continue to gain momentum during the fourth quarter, and we expect strong growth for this segment in 2012. The KINBER project, where we are building a statewide 1,600-mile fiber optic network in Pennsylvania, continues to move forward. We have received required project permits, have completed the engineering work and are performing construction activities. We believe this project is on track for completion by the end of 2012. We continue to see opportunities from wireless and fiber-to-cell site initiatives driven by strong wireless data growth, efforts to improve 3G wireless networks and from 4G and LTE wireless network upgrades and deployments. The Fiber Optic Licensing segment increased 12-month and total backlog about 6% and nearly 4%, respectively, in the third quarter as compared to last year's third quarter. More than 1/2 of our customers in this segment are educational facilities, including K-12 schools. We saw a deceleration in spending from these customers through the recession, but have experienced an increase in sales activity this year, and we believe this will continue into 2012. In summary, we continue to see positive trends across all of our operating segments as we move into the fourth quarter, which is reflected by the nearly 39% increase in our 12-month backlog at the end of the third quarter. The Keystone XL project is not in these backlog figures. As we look toward 2012, we believe the momentum we already have in our business provides a nice runway for strong revenue and profit growth next year. With that, I would like to like to turn the call over to James.
James Haddox: Thanks, Jim, and good morning, everyone. Today, we announced revenues of $1.25 billion for the third quarter of 2011 compared to $1.21 billion in the prior year's third quarter, reflecting growth of approximately 3.7% quarter-over-quarter. Net income attributable to common stock for the quarter was $52 million or $0.25 per diluted share. The growth in consolidated revenues in 3Q '11 was driven primarily by an increase in revenues from our Electric Power Infrastructure Services segment of 55% quarter-over-quarter. A portion of this growth resulted from an acquisition during the fourth quarter of 2010, and to a lesser extent, 4 smaller acquisitions completed during the third quarter of 2011. The 4 acquisitions completed in the third quarter of 2011 contributed about $12 million in revenues to the quarter. Excluding these 5 acquisitions completed since 3Q 2010, the Electric Power segment's revenues would've grown 42% quarter-over-quarter. Also contributing to growth in overall revenues were increased quarter-over-quarter revenues from Telecom Infrastructure Services of $47.1 million, or 53% -- 50.3%, I'm sorry. These revenues increases were offset by a 53% decrease in revenues from our Natural Gas and Pipeline Infrastructure Services segment. Our consolidated gross margin declined slightly from 15.8% in 3Q of '10 to 15.6% in 3Q of '11. The decrease was primarily due to the impact of lower overall revenues from Natural Gas transmission projects on this segment's ability to cover fixed costs. Partially offsetting these decreases were higher margins from our Electric Power and Telecommunications Infrastructure Services segment, which were positively impacted by higher overall revenues reported by these segments. Selling, general and administrative expenses increased $10.4 million to $92.4 million as compared to last year's third quarter. Administrative costs associated with acquired companies resulted in an increase in G&A expenses of approximately $4.0 million quarter-over-quarter. Selling, general and administrative expenses also increased as a result of $8.7 million in higher salaries, benefits and incentive compensation costs associated with additional personnel and salary increases. Offsetting the current quarter increases were lower losses on sales of equipment quarter-over-quarter of approximately $3.0 million. As a percentage of revenues, selling, general and admin expenses increased from 6.8% in the third quarter of 2010 to 7.4% in the third quarter of 2011, primarily due to the lower overall revenues reported by our Natural Gas and Pipeline segment and the impact of these decreases on Quanta's ability to cover these costs. Our consolidated operating margin before amortization expense decreased from 9.0% in 3Q of '10 to 8.2% in 3Q of '11 as a result of the effects I just discussed on gross margins and G&A expenses. Amortization of intangible assets decreased from $13.4 million in 3Q '10 to $8.3 million in 3Q '11 due to the runoff of amortization related to backlog and other intangible assets recorded from our prior acquisitions, partially offset by an increase in amortization-related intangibles associated with the acquisitions completed in 3Q '11 and 4Q '10. Amortization expense increased from $6.9 million in 2Q '11 to $8.3 million and 3Q '11 as a result of the acquisitions completed in the third quarter of '11. Moving further down into the details of our results by segment. Electric Power segment revenues were up about $290 million quarter-over-quarter, or about 55%. Revenues were positively impacted by increased revenues from Electric Power transmission projects, primarily due to increased spending by our customers during the third quarter of 2011. Revenues from emergency restoration services increased $52.4 million to $62.7 million in the third quarter of 2011, primarily due to Hurricane Irene impacting the East Coast region of the United States. Also, revenues were favorably impacted during the third quarter from the contribution of approximately $63 million of revenues from acquisitions, which occurred subsequent to the third quarter of 2010. The operating margin in the Electric Power segment was 12.4% in the third quarter compared to 11.3% in last year's third quarter, primarily due to higher overall revenues, which resulted from an increase in the volume of revenues from higher-margin transmission projects, as well as from increases in higher-margin emergency restoration services. Our Natural Gas and Pipeline segment revenues decreased quarter-over-quarter approximately 53% to about $259 million in 3Q '11 due to the decrease in the number and size of projects as a result of delays in spending by our customers, specifically in connection with Natural Gas transmission projects. Operating as a percentage of revenues decreased to a negative 1.5% for 3Q '11 from a positive 9.6% for 3Q '10. The decrease is primarily due to the overall revenues described above -- to the lower overall revenues described above, which negatively impacted this segment's ability to cover operating, overhead costs and admin costs. Additionally, we wrote down certain underutilized assets by about $3 million, negatively impacting pipeline margins in the third quarter of 2011. Revenues from our Telecommunications segment increased approximately $47 million or 50.3% to approximately $140.7 million in 3Q '11, primarily due to an increase in the volume of work associated with Stimulus-funded projects that ramped up substantially during 3Q '11 and an increase in revenues from FTTx buildout initiatives as a result of increased capital spending by our customers during 3Q '11 as compared to 3Q '10. Operating margin in the Telecommunications segment was 11.3% in 3Q '11 compared to 6.0% in 3Q '10. This increase in margin is primarily due to increased demand for our services, allowing for margin expansion as well as the impact of revenue increases on this segment's ability to cover fixed cost. Also contributing to this increase were lower overall selling, general and administrative expenses that resulted from the restructuring of certain operating units, which reduced the overall amount of fixed costs associated with this segment for 3Q '11 as compared to 3Q '10. Fiber Optic Licensing segment revenues were approximately $28.4 million for the third quarter of 2011, reflecting an increase of about 1.2% from 3Q '10. And operating margin was 50.0% in 3Q '11 compared to operating margin of 47.2% in 3Q of '10. When discussing operating margins by segment, we do not allocate certain selling, general and admin expenses and amortization expense to our segments. Therefore, the previous discussion about operating margins by segment excludes the effect of such expenses. Corporate and unallocated costs decreased $3.8 million in the third quarter of 2011 as compared to 3Q of 2010, primarily due to a $5.1 million decrease in amortization of intangible assets, partially offset by a $1.1 million increase in salaries and benefits expenses. Net income attributable to common stock for the quarter was $52.0 million or $0.25 per diluted share. Net income attributable to common stock in 3Q '10 was $62.8 million, or $0.30 per diluted share, which included $9.4 million of income for a benefit of $0.04 per diluted share due to the release of income tax contingencies from the expiration of various statutes of limitation related to federal and state tax returns. Adjusted diluted earnings per share as calculated in today's press release was $0.29 for the third quarter of 2011 as compared to adjusted diluted earnings per share of $0.32 for 3Q of '10. Cash flow from operations of $40.8 million, less net capital expenditures of about $38.3 million, resulted in approximately $2.5 million in free cash flow for the quarter. This compares to prior year's third quarter, which had a negative free cash flow of $79.2 million. The increase in free cash flow for the third quarter of 2011 as compared to the prior year quarter is primarily due to more favorable billing positions on 2011 projects, as well as significantly higher working capital requirements on pipeline projects that were in process during the third quarter of the prior year. EBITA for the third quarter of 2011 was $102.3 million or 8.2% of revenues compared to about $108 million or 9.0% of revenues for the third quarter of 2010. Adjusted EBITDA was about $133 million for the third quarter of 2011, compared to $141.4 million for the third quarter of 2010. Our days sales outstanding or DSOs were relatively flat at 75 days at September 30, 2011; June 30, 2011; and September 30, 2010. The calculation of EBITA and EBITDA and adjusted EBITDA, all non-GAAP measures, and the definitions of these and DSOs can be found in the Investors & Media section at our website at quantaservices.com. As previously announced, we entered into an amended senior secured revolving credit agreement with a syndicate of lenders led by Bank of America, N.A. and Wells Fargo, N.A. during the third quarter. The amendment expanded our senior secured revolving credit facility from $475 million to $700 million, and extends the maturity date to August 2, 2016. Under this new facility, at September 30, 2011, we had $190 million in letters of credit outstanding primarily to secure our insurance program and have no other outstanding borrowings. In addition, at the end of the quarter, we had about $257.8 million in cash. Considering our cash and availability under our new credit facility, we have nearly $768 million in total liquidity as of September 30. During the second quarter of 2011, our Board of Directors authorized us to purchase up to a total of $150 million of our outstanding common stock. In the third quarter, we repurchased 3.2 million shares in the open market for a total cost of $55.1 million. Including the shares repurchased in the second quarter, we have repurchased a total of approximately 8.1 million shares for a total cost of approximately $149.5 million. All repurchases were paid for with cash on hand. As I previously mentioned, we closed 4 acquisitions during the third quarter. The aggregate purchase price was approximately $81.6 million, comprised of $58.9 million in cash and $22.7 million in shares of Quanta stock. The acquisitions expanded our international presence in both Electric Power and Natural Gas Pipeline services. Concerning our outlook for the future, our estimate for 4Q '11 EPS based on revenues of between $1.35 billion and $1.45 billion is $0.32 to $0.36 per diluted share on a GAAP basis. This estimate compares to $0.16 in GAAP EPS in the fourth quarter of 2010. Our GAAP EPS forecast for 4Q '11 includes an estimate of $5.8 million for noncash compensation expenses and $7.8 million for amortization expenses. Excluding these expenses, our non-GAAP adjusted diluted earnings per share for the quarter is expected to be $0.36 to $0.40. This non-GAAP measure is calculated on the same basis as the historical adjusted diluted earnings per share presented in this release. We are currently forecasting net income attributable to noncontrolling interests to be approximately $3.7 million in the fourth quarter of 2011. And for additional guidance, we are currently projecting our GAAP tax rate to be approximately 39.5% to 40% for 4Q 2011. We expect our diluted share count to be about 209 million shares for the fourth quarter of 2011. We expect CapEx for all of 2011 to be approximately $180 million to $190 million, which includes CapEx for our Fiber Licensing segment of about $25 million. This $180 million to $190 million for 2011 compares to CapEx for all of 2010 of about $150 million. This concludes our formal presentation, and we'll now open the line for Q&A. Patricia, we're ready to go to Q&A now.
Operator: [Operator Instructions] And our first question comes from the line of Jamie Cook with Crédit Suisse.
Jamie L. Cook - Crédit Suisse AG, Research Division: Just a couple of questions. One, as I look at your fourth quarter guidance, James, we're making some improvement on the Natural Gas and Pipeline profits if you exclude the writedown you took in the third quarter. I'm just trying to think about how we think about run rate margins in the fourth quarter for the Natural Gas Pipeline business, given some of orders that you've gotten, would be my first question. And how you think about sort of margins longer-term sort of with and without Keystone? And then my second question, I guess, would be, Keystone, I understand you're still in negotiations. But can you just talk about the potential size for Quanta of that project going forward and then what that does to sort of capacity in the market in 2012 in the pricing environment?
James F. O'Neil: Jamie, this is Jim. In regards to pipeline margins in the fourth quarter, I mean, they should continue to get better, obviously. I mean, we needed work, and we're starting to see work. We've been awarded $250 million worth of projects. Most of that work is going to be done in the fourth quarter and the first quarter. So because we have that revenue coming in, we're able to leverage fixed costs in that Pipeline segment, which is going to certainly help revenues for the fourth quarter.
Jamie L. Cook - Crédit Suisse AG, Research Division: But do we get back -- because if you just look at your guidance for the fourth quarter, it implies margins sequentially have to be up, have to be approaching the 9.5% range versus 7.5% for this quarter. So I'm just trying -- is all that improvement in Natural Gas, in terms of the operating profit line? I'm just trying to get a sense for our margins exiting the year sort of in the mid-, high single-digit range on the Natural Gas Pipeline, because that has implications for earnings next year.
James F. O'Neil: Yes, margins in transmission business should be north of 7%. The segment should be approximately 8% for the segment. We've got the weather that impacts us in the fourth quarter when doing pipeline work, so we have to hedge there a little bit. But certainly, having that additional revenue is the key, and we should have significantly better margins than we have had the first 9 months of this year, doing about 7% operating income in the Transmission Pipeline business and 8% for the segment. In regards to TransCanada, we're really excited about it. I mean, this is the biggest infrastructure opportunity that we certainly have on our horizon. It's hard to give or to quantify what that total opportunity is right now. We haven't even gotten the maps for the layout of the pipeline project or detailed maps where we can price it. We have given indicative pricing on a unit basis to the customer. But we haven't certainly divided the scope of work or looked at what the total dollar opportunity is for the JV. We should do at least 1/3 of the work. I mean, there's 3 of us, and we certainly expect to do our fair share of that work. And we do think it's a significant opportunity. As soon as we can quantify that, we'll communicate that to you guys.
Jamie L. Cook - Crédit Suisse AG, Research Division: But what's the contractor's addressable scope on the -- you know what I mean because you're not going -- the materials or whatever, I mean, that's not going to get -- that won't be through you. I'm trying to get a sense of while you don't want to tell me your share, what was the addressable scope for the 3 contractors?
James F. O'Neil: Well, that's what we can't quantify right now. I mean, the total project is $7 billion. That includes engineering, material and construction.
Jamie L. Cook - Crédit Suisse AG, Research Division: So if we back out materials, is it 1/2 about? And then we could sort of...
James F. O'Neil: It's really hard to tell because there's been a lot of money spent on this project upfront. I would say in a typical pipeline project, you talk to looking at 30% construction scope. But they've spend so much money on this project, and that $7 billion, I just can't even estimate that right now. I can tell you it's a huge opportunity for us. It's the biggest infrastructure project that we have on the horizon that we'll be doing going forward. I just can't quantify it right now. I wish I could, but we can't.
James Haddox: And that has supporting infrastructure, too.
James F. O'Neil: Yes, there's other supporting infrastructure in addition to the pipeline as well.
James Haddox: That's included in the $7 billion. There's substations, compressor stations, those kinds of things that have not been bid out yet. So it's really hard for us to tell you how much of the $7 billion supply is just to the pipeline itself.
Operator: And our next question comes from the line of Tahira Afzal with KeyBanc.
Tahira Afzal - KeyBanc Capital Markets Inc., Research Division: I have 2 questions. Just a follow-up on the Keystone Pipeline project. From my understanding, you have the Keystone Cushing Extension, which is already built. The Gulf Coast segment was given out to Michels last year. So I guess, my assumption is with this particular contract, essentially the whole pipeline has been bid out. So I would like to get some comments on that. And then if you can comment on whether this is fixed price or cost-plus for you. And given that the Steele City portion mix essentially means that at least one, I would say around 15% to 20% of this pipeline project, is running across Nebraska in terms of your partnerships portion, how do you look at the fact that Nebraska has probably been the most contentious state? Do you see -- is TransCanada telling you that they'll go ahead and start constructing and leave Nebraska for later and Nebraska should not really influence that construction timeline too much? So that's unfortunately a very long first question. And then the follow-up is I just wanted to ask about your accounts receivable. I have seen them sort of go up a bit. I assume that's due to the ramp-up of all your transmission projects. But any additional color would be helpful.
James F. O'Neil: Tahira, the portion of the project is the one that goes from -- and I quoted it in my script, going from Canada to Nebraska. That's the course of the project. So yes, this doesn't include the southern section, which has already been awarded. The work is going to be done lump sum. We haven't gotten to that price yet with thea customer. The JV has given indicative pricing on a unit basis, but it will eventually be a lump sum project by the JV to TransCanada. As far as the regulatory issues and permitting issues, I can't comment on that. We haven't talked about how we're going to approach the work and whether we're going to avoid certain sections initially. We just haven't gotten into that detail with a customer. Those will be questions for TransCanada at this time.
James Haddox: And Tahira, on the receivables question. That's just purely related to the ramp-up in revenues. I mean, we had a $240 million ramp-up in revenues between the second quarter and the third quarter. And every quarter of this year has been -- revenues have been significantly higher than they were from the prior year. So that's requiring quite a bit of working capital as these ramp up. But our DSOs have remained flat throughout all the periods that are comparable. I mean, we're still -- we're at about 75 days and that's the way it was at the end of the second quarter and at the end of the third quarter of last year. So there's not really any significant issue in receivables. It's just requiring a lot of working capital to ramp these jobs up.
Operator: And our next question comes from the line of William Bremer with Maxim Group.
William D. Bremer - Maxim Group LLC, Research Division: Jim, can you give us a little color on -- I know you specified that in the pipeline segment, you've been working more on the smaller sort of branches of pipeline and not so much on the larger, more profitable. What type of capacity is that segment? What type of that capacity has that segment been running at, say, the first 9 months here? And then my second question is, you called out inspection-heightened federal as well as state regulatory issues on the inspection of pipelines. Does Quanta have all the technology there that they need? Or is there some type of technology out there that may need to be acquired?
James F. O'Neil: Well, I don't think it's a technology issue. I think it's just getting the permitting and signing approval. The regulatory approvals are what the big issues are. It's not about the application of how we build pipelines. I can tell you that the TransCanada line is going to have requirements in place that far exceed what is standard in the industry today and there is going to be technology applied, new type of material for the casing of the pipeline that can't be punctured. It's going to be concrete-encased. So I think that those technologies certainly will be provided to us to construct or to put into place. Our integrity business is certainly an area where we differentiate from a technology standpoint. And we do have some technology there to provide integrity service and rehabilitation services to our customers. As far as the question on the shale work, I wouldn't say that it's not as profitable. I would say it is just as profitable as the other work. It's just smaller sections of large-diameter pipe, and we've seen that business ramp up in the last 90 days or so. It's really starting to move along at a really nice clip. And we have established ourselves in these shales. We have a local presence to where we can capitalize on these opportunities in a timely basis. So we're excited about that part of our business, especially in the liquid-rich plays. The Bakken, the Marcellus and the Eagle Ford, we see significant opportunity going forward.
Operator: And our next question comes from the line of Zach Larkin with Stephens, Inc.
Zach Larkin - Stephens Inc., Research Division: First off, I wanted to see if you guys could talk a little bit about the electric distribution business and kind of your commentary on how that's been doing quite well. In light of last quarter, you noted that margins and pricing due to increased competition was something you had been facing. Has that situation improved? Or what does that market look like currently?
James F. O'Neil: I don't think we really have a competitive environment in our Distribution market. We have MSAs in place throughout the country. It's just a matter that utilities are bringing more crews on from Quanta, I mean, where we have MSAs to perform maintenance work, which means they're increasing their maintenance. And that surprisingly continues to ramp up in this economy, which is good news. I think that after the first 6 months of the year, we had 7% increase year-over-year. And now after 9 months, we're close to 11% increase for the 9 months ending this year versus that same period last year. So we're certainly seeing improvement, which is encouraging.
Zach Larkin - Stephens Inc., Research Division: Okay, great. And then on the Renewable side, are you guys anticipating any type of a year-end rush or pickup as the 1603 cash grants end at the year? Have you seen anything on that line?
James F. O'Neil: Yes, that's good question. I mean, I think that's one of the catalysts on why Samsung went forward when it did. And we are working on at least 2 other utility-scale programs that are being competitively bid, where I think there should be some announcements before the end of the year. So there is a rush of developers trying to take advantage of the 1603 tax grant before it expires at the end of the year.
Operator: Our next question comes from the line of Alex Rygiel with FBR.
Alexander J. Rygiel - FBR Capital Markets & Co., Research Division: First, as it relates to the acquisitions, can you quantify the anticipated annual contribution in revenue and the contribution in backlog in the current quarter?
James Haddox: Yes, the -- we're expecting about $100 million in revenues from those acquisitions for next year. And the other question was what, Alex, on backlog?
Alexander J. Rygiel - FBR Capital Markets & Co., Research Division: What did they contribute to backlog in the third quarter?
James Haddox: About $52 million. Effect [ph] on backlog for acquisitions that were acquired in the third quarter is about $52 million.
Alexander J. Rygiel - FBR Capital Markets & Co., Research Division: And as it relates to your fourth quarter guidance, can you comment on the recent storm activity in the Northeast with regards to the snow and whether or not that's included in your guidance or not?
James F. O'Neil: We've got $37 million, I think, in storm revenue in our forecast for the fourth quarter. It's too early to tell, Alex, how this -- I mean, we have responded I think we've got over 1,000 people that we sent to the area to respond to recent events, to respond to the outages particularly in the Northeast. But we don't know how that's going offset against our loss of productivity on some major projects we have in that area. So it's too early to tell how that shake out, if that will shake out. We think it's going to be net positive, but we're right in the middle of that right now.
Alexander J. Rygiel - FBR Capital Markets & Co., Research Division: And I apologize if I missed this. But your fourth quarter EPS guidance, down a little bit from previous guidance. Is that due to maybe a short-term delay in some of the gas awards that have now been awarded and are mobilizing? Or is there something else there?
James F. O'Neil: Actually, it's because we had pipeline work which we expected to start in the third quarter move into the fourth quarter. And now most of the pipeline work we're going to do is going to be in the fourth quarter and first quarter. And that could be an inclement weather period.
Alexander J. Rygiel - FBR Capital Markets & Co., Research Division: Great. It's only a timing difference.
James F. O'Neil: Exactly, it's timing. We expected to do significantly more in the third quarter than what -- because of regulatory and permitting delays that pushed it into the fourth. And we're just starting up on many of those projects.
Operator: And our next question comes from the line of Will Gabrielski with Lazard.
Will Gabrielski - American Technology: In terms of Keystone and the potential for there to be a wide range of startup dates for construction, how do you go about managing the schedule and your equipment and your spreads in terms of how you look and forecast for 2012? Is there any way to mitigate the potential timing risk there? Or maybe another point on that to comment now, how much of that capacity will be leased equipment versus equipment you own that you're planning to allocate to Keystone?
James F. O'Neil: Well, we've got the capability to do 9 spreads of big pipe. We're doing 1 spread of big pipe right now with Enterprise. So we've got plenty of capacity. So from a timing standpoint and how we planned these resources, I don't think we're -- I mean, we're able to capture other opportunities in addition to Keystone right now. All construction companies have a rental model to where they own a certain amount of the specialized equipment and they'll lease equipment, like light-duty vehicles and other equipments that's common across industries. So certainly, if we ramp up to where we have the significant amount of work going on, we will be leasing equipment. But that's not a big deal, that's just the way that we've done business in the past and that's the model the industry uses.
Will Gabrielski - American Technology: Okay. And then on the transmission business. Obviously, there was some news during the quarter with the President and Congress working to try and expedite the process of permitting yet again. And they went through, I think, 7 projects. That, combined with the other projects out for bid right now, how would you characterize 2012 bookings opportunities for Electric Transmission coming off a very good year in 2011?
James F. O'Neil: Well, I mean, we've pretty much made it through, our customers made it through the regulatory hurdles that we were facing in '11. Now that's not to say we won't encounter anymore in '12. I don't anticipate any. But we've got 10 major projects that are moving into construction and we've got some nice tailwind there and we expect further awards in the fourth quarter and into next year. And we would think that backlog will be strong, even with the run rate in Electric Transmission next year, as far as the burn that we'll have. So we're excited about the opportunities. Again, we think we're in the early stages of a major buildout in the Electric Transmission market, and we'll see more awards and significant increase in revenues next year in Transmission as compared to what we experienced this year.
Operator: And our next question comes from the line of Andrew Wittmann with Robert W. Baird & Company.
Andrew J. Wittmann - Robert W. Baird & Co. Incorporated, Research Division: Jim, just on some of the recent acquisitions, the transmission one seemed pretty middle of the fairway. But directional drilling in Australia, it's a little bit far-flung geographically and it doesn't seem directly like what you've done historically. Combine this with the acquisition in the Eagle Ford, where you're doing some things that are a little bit different, I guess, question is, is there a bit of a change in strategy here? And how much of these kinds of acquisitions should we expect going forward?
James F. O'Neil: Well, we've been saying for the last year or so that we've been opportunistically looking for opportunities international. And you look at this being a directional drilling company in Australia, it's really an opportunity to establish a base to not only pursue gas pipeline opportunities and directional drilling opportunities because Alaska is going to be the #1 exporter of LNG in the world because of their natural resources going into next year as they export LNG to Asia. But we're going to use this as a base as well to expand our Electric Transmission and Distribution segment as well, which there's a huge opportunity in Australia to upgrade infrastructure very similar to what's occurring here in the U.S. and Canada. So it's a very friendly state, country, very much like the U.S. and it's an opportunity that we've been looking at for a long time. So I don't think it's a departure from what our core business is or our philosophy. It's just an area of opportunity in Australia that we can capitalize not only in the Pipeline market but in the Electric Power Infrastructure market as well.
Andrew J. Wittmann - Robert W. Baird & Co. Incorporated, Research Division: So do you think you'll -- just to continue on that, do you think you'll add in around that with more investments in Australia then?
James F. O'Neil: Well, maybe more investments in Australia, maybe we'll just grow organically that small company because now we have a platform for growth and bringing in resources. So it could be combination of both. Australia is just a huge opportunity for growth in all of the industries that we participate in today. And this is the first step in trying to establish a platform to grow that opportunity.
Andrew J. Wittmann - Robert W. Baird & Co. Incorporated, Research Division: Okay, great. And just on the Electric Transmission margins, was there any contribution from any positive closeouts in the quarter that may have moved the margins a little bit higher? It seemed like the storm benefit was kind of offset with negatives in some of the other work that you were doing. So it seems like storm wasn't necessarily the contributor. But I'm just wondering if there's closeouts. And maybe now that utilization levels are moving higher, are the margins in the third quarter indicative of some of the trends that you hope to see in the busier 2012 season?
James Haddox: This is James. I'll take the first question. No, there weren't any closeouts of any major projects. We closed those out towards the end of 2010. And now we're ramping up on a lot of projects. And in fact, we're being somewhat conservative as we usually are in the beginning of these major contracts as far as revenue recognition is concerned. So we should see some improvement in margins if these projects move on through, if we execute properly.
James F. O'Neil: And in the consistency of work on as many projects that were on, we're able to fully utilize or at least improve significantly the utilization of equipment, and our key people, our superintendents and foremen. So yes, margins should go up, and yes, I think the third quarter electric margin is reflective of that occurring. We just have to be cognizant that the fourth quarter does have some and the first quarter can bring some unpredictable weather. But we expect margins to continue to improve in the fourth and first quarter as we move into next year.
Operator: And our next question comes from the line of Jeff Beach with Stifel, Nicolaus.
Jeffrey L. Beach - Stifel, Nicolaus & Co., Inc., Research Division: Typically, you give an update on a lot of your projects. You didn't this time. But could you just focus on the 2 or 3 projects that earlier in the year were delayed because of environmental permitting and issues like that, such as Tehachapi, and if they're progressing at this point and if there's any that are still being held up by permitting?
James F. O'Neil: No, Jeff, all the projects are moving forward. I'm not going to say there's not a little issue here or there on projects, but nothing material like we had in the beginning of the year. I can tell you that the momentum in the third quarter was primarily from Sunrise getting the green light, the Greater Reliability Project getting the green light and then Sharyland beginning to ramp up -- excuse me, Lone Star. So those were the 3 transmission projects that really gained momentum in the third quarter. And again, everything is moving forward. We don't see any regulatory issues that anywhere near what we saw at the begin of the year, and things are moving forward nicely.
Jeffrey L. Beach - Stifel, Nicolaus & Co., Inc., Research Division: All right. And on the gas revenues, could you give us either the dollar amount or kind of a rough percentage of how much this quarter was in the large-diameter pipeline versus everything else?
James F. O'Neil: We had very little -- that Enterprise job was supposed to start in the beginning of September, when we forecast it originally and that pushed into October. So we had very little large-diameter pipeline, the long-distance pipeline. Most of the revenues that we generated in the third quarter were from the shale projects. When I say the shale projects, the shorter-distance, larger-diameter pipeline projects.
Jeffrey L. Beach - Stifel, Nicolaus & Co., Inc., Research Division: All right. And I assume this surge in the margin in the fourth quarter then is coming from some utilization of your large-diameter equipment.
James F. O'Neil: That's correct. And to put more color on it, I think we're going to have about $90 million of that $250 million move into the first quarter of next year. So that's how things have shifted from the third quarter. Now all those jobs were expected to complete for the most part by the end of the year, and now we have $90 million of revenue moving into the first quarter of that $250 million.
Operator: And the next question comes from the line of Scott Levine with JPMorgan.
Scott J Levine - JP Morgan Chase & Co, Research Division: So with regard to -- you mentioned weather and its impact on the fourth quarter, when you talk about how you factored that into your guidance here, is that based on what you've already seen relative to the month of October? Or are you just factoring in more conservatism than is seasonally typical? Or maybe a little bit more color with regard to the weather considerations you had in setting or resetting your Q4 guidance there.
James F. O'Neil: We just set normal weather patterns in the fourth quarter compared to what we would see in the third. In the fourth quarter, you typically are going to get less productivity than you do in the third. And we have databases of information in certain geographical areas that we refer back to try to get a good feel on what those margins should be.
Scott J Levine - JP Morgan Chase & Co, Research Division: So in reality, your gas work is sliding a little bit back further and a little bit into rougher weather conditions, so we consider that to be a little bit more of an issue with respect to margins you're likely to earn on that. Or is that not really a factor there?
James F. O'Neil: No, I think you're right. I mean, the revenues have been pushed back due to permitting and regulatory issues. You had revenues move that were anticipated in the third quarter into the fourth and first. And historically, the production that we get during the fourth and first quarter is not anywhere near what we would get in the third. Not anywhere near, it's just more challenging than what we would get in the third.
Scott J Levine - JP Morgan Chase & Co, Research Division: Got it. And one follow-up really quickly, maybe on the SG&A. Obviously, you're growing your book of business here dramatically. What are your expectations or what thoughts do you have in terms of how that line is likely to behave into 2012 without asking for explicit guidance per se?
James Haddox: I think you'll probably see it come down as a percentage of revenues. I mean, it will probably move up on an absolute dollar basis. But considering the growth that we're expecting, it should come down on a percentage basis. I mean, you might see it be below -- I mean, typically an 8% number is a good number. You might see it below that number in 2012. But we're not really giving any specific guidance yet on 2012. So that's just kind of general. I think, it will, like I said, go up on the an absolute dollar basis, but should be lower on a percentage basis.
Operator: And our next question comes from the line of Dan Mannes with Avondale.
Daniel J. Mannes - Avondale Partners, LLC, Research Division: A couple of follow-up questions. First, on Keystone, given the size of the project and the number of the spreads you have to potentially commit to it, how do you -- through your bidding strategy, as it relates to other work for 2012, given you may have to tie up a lot of resources on that project?
James F. O'Neil: Yes, I mean, Dan, I think I tried to answer that before. We've got capacity to do 9 spreads at a time and even expand that up to maybe 11 or 12. Keystone is not going to take but a 1/3 to maybe 1/2 of our capacity. So we have plenty of capacity to do all the work and to pursue other projects. It's a good problem or a good situation to be in.
Daniel J. Mannes - Avondale Partners, LLC, Research Division: Well, or the other side, is that's indicative of your current utilization. But I guess, looking beyond Keystone as we look to 2012, and I know it's early, what do you think of the current outlook for pipeline work, especially large diameter, excluding Keystone? And are you seeing more and more opportunities starting to come down the pike?
James F. O'Neil: We do. We're trying to be a little bit more cautious because last year at this time we said we saw $1 billion more activity going into '11 than we had in '10. And we didn't do very well this year-to-date. So we are optimistic about the bidding environment. We're looking at about $600 million in projects right now to bid for this year. And we've got other projects in that $1.8 billion that we hope will go that we talked about before. So we're optimistic about '12. I think '12 is going to be better than '11, for sure. But we'll certainly have more color for you on our fourth quarter call and give you more detail on where we are at that time, because we're early in the bidding season right now.
Operator: And our next question comes from the line of Adam Thalhimer with BB&T Capital Markets.
Adam R. Thalhimer - BB&T Capital Markets, Research Division: Who are your JV partners on Keystone?
James F. O'Neil: It's 2 private companies. One of them is Michels and the other one is Sheehan.
Adam R. Thalhimer - BB&T Capital Markets, Research Division: Okay. And then last quarter, Jim, I think you talked about some -- on the telecom side, some fiber shortages and some delays in stimulus projects. You didn't mention that this time. I'm just wondering if those issues have been cleared up since last quarter.
James F. O'Neil: Yes, that's still an issue, but we're working through that. And it hasn't really slowed down our growth or productivity to date. That's still an issue that's out there, but it hasn't affected us to date.
Operator: And our next question comes from the line of Craig Irwin with Wedbush Securities.
Craig E. Irwin - Wedbush Securities Inc., Research Division: So, as we look over the course of the next year, there's been a lot of speculation about economic weakness. Some companies reporting that they're seeing it, others are saying that there's no indication either from their customers or from the overall end market environment. What's your take on the economic outlook and how this could potentially impact your business over the course of the next year?
James F. O'Neil: Well, I'm not going to comment specifically on what I think is going to happen with the economy, but I can tell you that we're fairly confident that our Electric segment and our Telecommunications segments are going to have very strong growth next year compared to this year. Pipeline, we anticipate to do better, but that's the wildcard certainly. We'll have to see how that plays out as we go through the bidding season. But overall, we expect to have a significantly better year in 2012 than we did in '11, driven by Electric Power and Telecommunications growth in both revenues and margins.
Craig E. Irwin - Wedbush Securities Inc., Research Division: Excellent. And then as my follow-up question, from your answers to other people's questions on this call about pricing and the pricing outlook, it sounds like you're being fairly conservative. It sounds like you are not anticipating a significant change in profitability of the work, given that utilization levels are most likely going to go up dramatically on the Gas side and have already gone up fairly significantly on the Electric T&D side. What is there that would have you be more constructive on potential for more positive pricing over the course of the next few quarters?
James F. O'Neil: Well, I think the resource constraints in the electric industry are there. I think the supply of qualified labor to move forward on additional projects in the industry are scarce, and that we're well positioned to take advantage of opportunities. So certainly, there's some opportunities to move pricing up in Electric Power going forward. Telecommunication, the margins are strong. We expect margins to increase several hundred basis points over the course of the next year. Gas is the big wildcard. We've got to be able to leverage that fixed-cost overhead with some meaningful work. We're not going to pursue low-cost work. We're going to maintain our bidding philosophy that we've had all along in our transmission pipeline business. And certainly, if that business takes off, we should have some very nice margins next year. But we're still anticipating 9% to 12% operating income throughout 2012. And we should be at the higher end of that if our Gas business performs as we expect it to in 2012.
James Haddox: You might mention that when you say throughout 2012, that might not hold for the first quarter because the first quarter is subject to seasonality. That's the winter quarter. You won't see -- I mean, I don't you're going to see the first quarter fall off compared to the fourth quarter as much as it traditionally has because of the momentum. But we will still have some effects of weather on the first quarter and with respect to margins and revenues, they'll be lower in the first quarter than they are in the fourth quarter.
Operator: And our next question comes from the line of John Rogers with D.A. Davidson.
John Rogers - D.A. Davidson & Co., Research Division: Just wanted to follow up a little bit on the cash situation. In terms of Keystone, is this project that goes through -- are you required -- I mean, do you expect to have to hold a lot of cash for working capital purposes? And sort of how do you waive future buybacks relative to that decision or award?
James Haddox: John, I don't think things have changed a whole lot as far as the way we view our cash position. I mean, we've been saying for the last couple of years that we were building up cash in anticipation of the need of working capital that we're seeing right now. TransCanada, I mean, we're going to need normal working capital as revenues increase in 2012. I don't think it's going to be extraordinary. I mean, we haven't really signed the contract yet, but we will take the normal approach with TransCanada that we take on all of our big projects, which is to try as much as we can to minimize the working capital that we have to put out. But with that being said, we've got the availability to do, to carry the working capital. So like I started to say, we've held cash primarily to be able to fund these types of projects, followed up by capital expenditures and acquisitions, and then coming behind that is stock repurchases. And acquisitions and stock repurchases are opportunistic. It's a little too early [ph] for me to give you guidance on any more specifics than that.
John Rogers - D.A. Davidson & Co., Research Division: Okay, fair enough. And James, in terms of capital spending, though, next year -- and I don't know whether you can talk about this. I mean, given that -- I mean, you mentioned, you talked about capacity availability earlier for a lot of this work. Should it have to change significantly next year?
James Haddox: Capital spending?
John Rogers - D.A. Davidson & Co., Research Division: Yes.
James Haddox: No, I don't think so. I mean, it might be a little bit higher, but I don't think so. I think it will be about the same as it is this year.
Operator: And our next question comes from the line of Andrew Langton [ph] with Millennium Partners.
Mark Caruso - Millennium Partners: Jim, it's actually Mark Caruso for Drew. Just following up on Dan Mannes's question earlier, it sounds like you were mentioning that you have extra capacity to go pursue other work. I want to see what your thoughts are on Wrangler, if that's a project that you're targeting, if you think there's any implications of that on Keystone?
James F. O'Neil: Yes, we're pursuing that opportunity as well. And then I wanted to say -- the annual cyclicality of the Pipeline business, there's a lot of contractors with capacity right now. We're early in the bidding season. And people typically don't start building pipeline in the fourth quarter or the first quarter. We're seeing an anomaly this year because of regulatory delays that have moved projects into the fourth quarter. So it's not unusual to have excess capacity this time of year, it's just the nature of the business, as we're in early in the bidding season. If we have this type of capacity in the second and third quarter, then that's more of an issue than it is in the fourth quarter. So I'm not concerned about having the excess capacity right now. It's not a bad problem to have as we're in the beginning of our bidding season. But we are pursuing Wrangler as well.
Mark Caruso - Millennium Partners: Is there a scenario where you could be a part of both projects?
James F. O'Neil: Yes, absolutely. There's no conflict there at all. So we can certainly -- we have the capacity to pursue both projects.
Operator: And we do have a follow-up question from the line of Tahira Afzal from KeyBanc.
Tahira Afzal - KeyBanc Capital Markets Inc., Research Division: If you look at Enterprise and Chesapeake that's come out with very bullish shale ventures going forward on the gas-gathering side and there's particular talk now increasing these on the Utica Shale play. Jim, you guys were off to a late start in some of the other shale plays. Can you talk about Utica? And then of course, Enterprise, you've had a good record with. But also talk a bit perhaps about Chesapeake as a client.
James F. O'Neil: Yes, I mean, those are currently our customers that we work for and they're good customers. And we have a presence in the Utica Shale as well. So I don't see us as being behind. There's opportunities there and we've got customers that we work with in the past on big pipe that are certainly happy that we've got a presence in these areas and want us to participate in their gathering programs.
Operator: And we have a follow-up from the line of William Bremer with Maxim Group.
William D. Bremer - Maxim Group LLC, Research Division: Yes, gentlemen, just a quick one. Can you give us an update on Valard and what that contribution was for the quarter? And is that still on track for fiscal '11 in terms of what you were expecting?
James Haddox: We don't typically drill down into the results of our operating units on the quarter. I mean, I've given you -- you can actually probably back into it because the differential in Electric Power growth was, instead of 55%, was 42% and 12% came from the new acquisitions. So you can probably back into it. But the Valard is doing well. I mean, the Valard is performing up to our expectations for 2011 and about what we expect it will do in 2012.
William D. Bremer - Maxim Group LLC, Research Division: Right. I mean, Valard was not 1 of the 4. It was acquired back in October of '10, correct?
James F. O'Neil: That's correct. October of '10. That's right.
Operator: Thank you. And management, there are no further questions in the queue at this time. Please continue.
James F. O'Neil: Well, I'd like to thank you all for participating in our third quarter conference call. We appreciate your questions and your ongoing interest in Quanta Services. Thank you. And this concludes our call today.
Operator: Thank you, ladies and gentlemen. Again, this concludes the Quanta Services Third Quarter Earnings Conference Call. If you would like to listen to a replay of today's conference, please dial (303) 590-3030 or the toll-free number of 1 (800) 406-7325 and enter the access code of 4483974. We'd like to thank you for your participation, and you may now disconnect.